Operator: Good day and welcome to the Inari Medical, Inc. Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today’s event is being recorded. I would now like to turn the conference over to Caroline Corner, Investor Relations. Please go ahead.
Caroline Corner: Thank you, operator. Welcome to Inari’s third quarter 2022 earnings call. Joining me on today’s call are Bill Hoffman, President and Chief Executive Officer; Drew Hykes, Chief Operating Officer; and Mitch Hill, Chief Financial Officer. This call will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements made on this call that do not relate to matters of historical facts should be considered forward-looking statements, including statements regarding the markets in which Inari operates, trends and expectations for Inari’s products and technology, trends in demand for Inari’s products, Inari’s expected financial performance, expenses and position in the market; and the impact of COVID-19 on Inari’s operations and Inari’s customers’ operations. These statements are neither promises nor guarantees and involve known and unknown risks and uncertainties that could cause actual results, performance or achievements to differ materially from any results, performance or achievements expressed or implied by the forward-looking statements. Please review Inari’s most recent filings with the SEC, particularly the risk factors described in Inari’s annual report on Form 10-K for the year ended December 31, 2021, for additional information. Any forward-looking statements provided during this call, including projections for future performance, are based on management’s expectations as of today. Inari undertakes no obligation to update these statements, except as required by applicable law. Inari’s press release for the third quarter 2022 results is available on Inari’s website, www.inarimedical.com, under the Investors section and includes additional details about Inari’s financial results. Inari’s website also has the latest SEC filings, which you are encouraged to review. A recording of today’s call will be available on Inari’s website by 5:00 p.m. Pacific Time today. Now I would like to turn the call over to Bill for his comments and third quarter 2022 business highlights.
Bill Hoffman: Thank you, Caroline, and thank you everyone for joining us today. Our third quarter was perhaps the most productive in our history as a public company. Revenue growth was again strong and we executed crisply across all of our growth drivers. In fact, since our – at last earnings call, we obtained FDA clearance on three new products, two of which are already in full market relief, and we reported three new important data readouts in late breaking clinical trial presentation at major medical conferences, TCT and VEINS. Drew will share some detail about all of this shortly, but we’d like to start now as we always do with a patient story. In fact, we’re going to share three short patient stories, one for each of our new products. A couple of months ago, a 58-year-old man in otherwise good health presented to a hospital in Florida with severely swollen legs and in horrible pain. He was diagnosed with a critical limb threatening condition called critical limb ischemia caused by blood clots in the arteries of his legs. He had been treated for the same condition a few months earlier via an open surgical resection, and in fact, I just endured two days in the ICU on a thrombolytic drip followed by an endovascular thrombectomy procedure in which a competitive product failed to remove his blood clots. He was treated with the new Inari Arctic system and in less than 60 minutes his pain was gone and his legs returned to normal size and was discharged from the hospital the very next day. In September, a new mom, just 26 years old and two months postpartum, presented to an emergency department in Arkansas with severely swollen legs and in significant pain. Because she had a history of blood clotting disorders, physicians had placed several years earlier a vena cava filter to prevent a pulmonary embolism. That filter was now full of clot, which extended from just below her chest to her knees on both legs. The new Inari Protrieve sheath is delivered from her neck to just below her heart to ensure no clot embolized to her lungs while multiple Inari devices were used to remove all of the massive amount of clot in her abdomen, pelvis and legs. She was home the very next day with her new baby. Finally, also in September, a man in his 80s with a history of chronic knee pain and a history of surgeries reported progressive and significantly worsening symptoms of pain and swelling in both legs. He had been treated only with anticoagulation for multiple diagnoses of DVT over many years and was now suffering from chronic clot extending from his pelvis to his ankle. The physician used ClotTriever BOLD to remove all of the clots above his knees and the new Inari InThrill device to remove the clot below his knee. Total Inari device time on this complex procedure was just 31 minutes. He discharged from the hospital a couple of days later with greatly diminished pain and no remaining swelling in his leg. None of these procedures were possible just a few months ago, and in fact, two of these patients had already failed multiple treatment attempts with other therapies. These patients matter to us very much. Every patient has a history, a story, a life, people who care about them. We are committed above all to changing lives in the most beautiful ways. We are just getting started. I’d like now to turn the call over to Drew Hykes who will by the time you hear formally from him again, see our next Chief Executive Officer.
Drew Hykes: Thanks, Bill. I’d like to start with a brief summary of our financial performance. Our revenue in Q3 was $96.2 million, up $23.3 million or 32% from the same quarter last year. Results in our core business were driven by strong procedural growth across both ClotTriever and FlowTriever product line. On a sequential basis, procedure growth during the quarter was more than enough to offset the revenue contributions we saw in Q2 from the introduction of BOLD and Intri24. We are pleased with our business performed in Q3 and enthusiastic about how we are positioned for both the remainder of this year as well as 2023. With that, I’ll now turn to our growth drivers. Our first growth driver is the expansion of our sales organization. You will recall that we committed to at least 275 territories by the end of 2022. In Q2, we hired our largest sales class ever nearly achieving this goal by mid-year, we accelerated our hiring and anticipation of introducing several new products in the second half of the year. In Q3, we intentionally hired a smaller group and exited the quarter with just over 275 territories. We continued to believe when fully built out our sales organization will rival the largest in the interventional space. We still have a long way to go. Continued expansion of our sales organization results in smaller and smaller territories. This positions us well to execute on our second growth driver, which is increasing penetration and existing accounts. Despite our commercial success, the vast majority of VTE patients continue to be treated with anticoagulation alone and never even see a physician with the skills and expertise to make the most informed clinical decisions. Our goal is to establish systems and processes similar to stroke and MI that ensure patients are consistently identified, screened, and evaluated by a VTE expert. Our VTE Excellence program is a comprehensive and repeatable approach to connecting VTE patients to VTE expert. We have invested heavily in this effort and we believe it is paying off. We are systematically moving customers to most advanced stage of VTE Excellence and TAM penetration rates at these centers are several times greater than our median customer. Our third growth driver is to build upon our base of clinical evidence. The past several months have been the most productive in our history in terms of both the quantity and quality of data produced. First, outcomes from the full U.S. cohort of the FLASH registry were presented as a late breaking clinical trial at TCT in September. FLASH is the largest device study ever conducted in the field of PE, enrolling 800 patients across 50 centers. The study evaluated real world patient outcomes after treatment of PE with FlowTriever. Once again, the safety profile was pristine. The major adverse event rate was just 1.8%, and at a single device related major adverse event was reported. Efficacy was also unmatched. Many patients showed meaningful hemodynamic improvements while still on the Cath Lab table. This again confirms what patients consistently report they feel better immediately. Most importantly, all cause mortality at 30 days was only 0.8%, which is extraordinary given the 10% mortality consistently seen and updates to the per All-Comer Registry of almost 6,000 patients. These results are unprecedented in PE thrombectomy. We’re at the thrombus extraction with FlowTriever is not only safer than conservative medical management, it fundamentally alters the national course of the disease. Next 30-day outcomes from the fully enrolled 500 patient All-Comer CLOUT registry were presented as a late break in clinical trial earlier this week at VIVA VEIN. CLOUT is the largest mechanical thrombectomy study ever conducted on DVT patients. ClotTriever again demonstrated an excellent safety profile with just one patient experiencing a device related serious adverse event. Efficacy was unparalleled. Independent core lab adjudication showed complete or near complete thrombus extraction in 90% of patients. In fact, nearly two-thirds of patients showed 100% clot removal, which has never been demonstrated in any DVT trial ever. Not surprisingly, patients experience immediate symptom relief. More than 90% were free of moderate and severe post thrombotic syndrome in 30 days, removing all of the clot matters. Also presented as a late breaker at VIVA VEIN was a propensity match comparison of patients treated in the CLOUT registry versus patients treated with pharmacomechanical thrombectomy in the landmark NIH-sponsored a ATTRACT trial. Nearly twice as many CLOUT patients showed complete clot removal compared to ATTRACT patients were treated with competitive technology. Complete clot clearance improves patient outcomes. Not surprisingly then, CLOUT patients showed significantly lower rates of PTS compared to a ATTRACT patients. The three key takeaways from these DVT studies are first ClotTriever is safe. Second ClotTriever removes more clot than any device ever studied, and third, ClotTriever achieves best-in-class patient outcomes. This gives us great confidence that DEFIANCE our randomized controlled trial will establish ClotTriever a standard of care for DVT treatment, enrollment begins in Q1 2023. Finally, we are excited to update you on PEERLESS. PEERLESS you will recall is our 550 patient RCT comparing FlowTriever to catheter-directed lytic therapy for the treatment of PE patients. Study sites continue to activate and enrollment as well ahead of our expectations. We’ll update you periodically on both PEERLESS and DEFIANCE. We remain committed to the production of high quality data and a lot of it. This commitment is based on a sense of responsibility to physicians and patients and we believe the implications will be increasingly clear not only for adoption and growth, but also for differentiation from current and future competitors. Our fourth row drivers to expand our product portfolio, we have several exciting developments to share here as well. First, FlowTriever has now transitioned to full market release. The device is a sheet that provides protection to the heart and lungs during complex DVT and IVC procedures. This is important not only in at least 15% of our own procedures, but useful in a large percentage of DBT interventions completed with other devices. Physician feedback has been highly positive. FlowTriever will be sold outside of our per procedure pricing and carries an average selling price of $4,000. It represents a significant potential revenue opportunity. InThrill is also now in full market release. InThrill is a thrombectomy system designed for small vessels, including AV fistulas and veins in the upper extremity below the knee. We believe the combined total addressable market is 250,000 to 300,000 procedures per year in the U.S. alone. At an ASP of $4,000, InThrill represents an additional $1 billion market opportunity. Arctics continues to perform well in limited market release. The system combines both aspiration and mechanical thrombectomy to treat peripheral arterial thrombosis. The system was designed to achieve complete clot removal while minimizing the risk of distal embolization. We estimate the annual incidents of peripheral arterial thrombosis in the U.S. is approximately 80,000 cases with a target ASP of $7,500. Arctics represents an incremental market opportunity of $600 million. We will share additional updates on Arctics as we progress through the remainder of the LMR. In summary, during 2021, we launched five major new products. To-date in 2022, we have launched six new products including solutions to address three new TAMs. As a result, our total TAM has increased from $5.8 billion to over $8 billion in the U.S. and over $20 billion globally. Our pipeline is full and we look forward to sharing additional new product releases soon. Our last growth driver is expansion into international markets. Q3 marked another quarter of record case and revenue growth for our OUS business driven by continued adoption in Europe. We have an established and initial commercial footprint across the entire European market and are largely following the same playbook and commercial system as our U.S. business. Beyond Europe, we also saw strong case growth during the quarter in our existing markets in Latin America, Canada, and Asia Pacific. We’re continuing to work towards additional market launches across these regions during the remainder of this year and into 2023. Despite this progress, as we’ve noted previously, international will not be a material component of our overall revenue mix for the near-term. Taken together, we believe we’re making excellent progress across all our growth drivers. Our strategy is working and we believe we can and will grow consistently for many quarters and years to come. Despite all our progress, make no mistake, we are just getting started. With that, I’d like to turn things over to Mitch.
Mitch Hill: Thank you, Drew, and good afternoon everyone. Inari revenues for the third quarter of 2022 were $96.2 million, up $23.3 million or 32% from $72.9 million for the same period of prior year. Compared to Q3 of 2021, our revenue growth was due to continued efforts to open new customer accounts, expand our sales force, and deepen our relationship with existing customers. We’ve also been successful introducing multiple new products to expand both the FlowTriever and ClotTriever product lines. The revenue split between product lines was substantially the same year-over-year with 31% of our revenue derived from the sale of ClotTriever products during the third quarter of 2022 versus 30% in 2021 and 69% derived from the sale of FlowTriever compared to 70% in 2021. Gross margin was 88.5% for the third quarter of 2022 compared with 90.3% for the third quarter of 2021. The decline was primarily due to the addition of new products to our FlowTriever toolkit, which add additional cost of goods sold due to our per procedure pricing approach. Operating expenses were $94.9 million in the third quarter of 2022 compared with $68.6 million for the same period of the prior year. R&D expense was $19.1 million in the third quarter compared with $12.5 million for the same period of 2021. The $6.6 million increase in R&D expense was primarily driven by an increase in headcount as well as product development and clinical evidence development costs. These initiatives are consistent with the company’s previously discussed growth drivers. SG&A expense was $75.8 million in the third quarter of 2022 compared with $56.1 million for the same period of the prior year. The $19.7 million increase was primarily due to personal related expenses as we increased head count across the organization and secondarily due to higher marketing costs, travel expenses and facility related costs. Net loss for the third quarter of 2022 was $10.2 million compared to net loss of $2.8 million for the same period of the prior year. The basic and fully diluted net loss per share for the third quarter of 2022 was $0.19 based on the weighted average basic and fully diluted share count of 53.5 million. These compare with a basic and fully diluted net loss per share of $0.06 based on a weighted average basic and fully diluted share count of 50 million for the same period of the prior year. Before I move on to the balance sheet updates, I’d like to comment briefly on the company’s Q3 operating loss of $9.8 million. As you know, we continue to invest aggressively in our growth drivers. This has served our patients and company well and contributed to our significant growth. I’d like to reiterate that we intend to be consistently profitable commencing in the first half of 2024. Moving to the balance sheet, our cash and investments at the end of Q3 totaled $319.2 million consisting of $83.5 million of cash and $235.7 million of short-term investments. By way of reference, our cash and investments as of the end of Q2 2022 were $330.5 million. Our cash flows used in operating activities were $13.1 million for the third quarter of 2022 compared to cash flows used in operating activities of $5.6 million in the third quarter of 2021. Next, I’d like to address Inari’s financial guidance for the full year 2022. We are raising our revenue guidance to $373 million to $375 million up from the existing range of $360 million to $370 million. Consistent with prior years we will provide 2023 guidance early next year. However, if it’s not apparent from our prior remarks, we remain extremely bullish in our business and our ability to grow next year and beyond. With that, I’d like to turn the call back to the moderator for questions. For the Q&A segment Bill, Drew and I will be joined by Dr. Tom Tu, Inari’s Chief Medical Officer.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today’s first question comes from Travis Steed at Bank of America. Please go ahead.
Travis Steed: Hi, great. Thanks for taking the question and congrats on a good quarter. I guess I just to follow up on some of the 2023 comments committed to a strong growth, but the Street has 20% growth right now. I am just kind of curious if that’s a good place to be for now and when you think about that number like it seems like the base business alone could continue doing 20% growth kind of longer term. I don’t know if you’re willing just to say that on the base and then any color on how to think about the new products.
Drew Hykes: Yes, thanks for that, Travis. This is Drew. I can get started on that and then Mitch may want to follow up with some of the more specifics on the financials. But, Travis, I think in general as you heard we feel really good about how we’re positioned here looking ahead to the end of this year and that carries through right through 2023 as well. We’ve got the mega class that is ramping and kind of hitting the sweet spot of their productivity. We’ve got not one, but two new products now out in full market release representing incremental revenue opportunity. We’ve got our VTE Excellence program that is really starting to click on all cylinders and gain meaningful traction. We’ve got new data that we’re able to leverage both with FLASH as well as just this week with the cloud dataset as well. So taken together we feel very confident here looking ahead to the end of this year and out into 2023 as well. We’re going to stop short of providing any specific guidance on 2023 today that will come early next year, but did want to reiterate how confident we’re feeling when we look across all of our growth drivers. With that, I don’t know, Mitch, if you have anything you wanted to…
Mitch Hill: Yes, a couple comments to add to that, Travis. One our year-over-year growth I believe is about 32% just quarter-to-quarter. So I think we feel like we continue to have a business with a tremendous amount of growth potential. And because of the current penetration rate in the addressable market, we think this business has a very attractive growth opportunity for many quarters and years to come. I think you also asked about the new product contribution and maybe I can just comment that is we’re kind of working through Q4. We have the two new products as Drew announced in full market release. We’re working through the VAC approval process and other things with our hospital customers to kind of getting stuff out into the field. And we’re excited about the potential we see for those two products. As you know, both of them actually are incremental to the FlowTriever and the ClotTriever products, which we’ve been selling for some time. And I think as we get into the first part of next year, we’ll continue to find ways to update you on the progress that we’re making with those two new products and their acceptance in the marketplace.
Travis Steed: All right. Thanks for the color and fully understand in 2023. I guess the follow up would be on OpEx growth. I was kind of curious what – how you’re thinking about that given your commitment to somewhat profitable – profitability moving forward. If it’s going to require something around like 10% OpEx growth or if you’re going to be closer to 40% that you did this quarter, just any kind of help done on how you’re thinking about managing expenses and the operating expenses moving forward?
Bill Hoffman: Yes, so I can start on that one, Travis. I think you’ve seen us invest aggressively across all five of those growth drivers, and that’s been intentional and deliberate. I think the result has served us really well, served patients really well. It’s allowed us to build some impressive capabilities and competencies that we’re going to be able to leverage going forward. Relative to the profitability, I think, you’re going to see us begin to make meaningful progress on our operating income as we move through next year and look ahead 2024. We’ve got some advantages in that effort starting with gross margins in the mid to high 80%. We’ve got a really efficient commercial system on top of that, and I think we’re going to be able to make progress towards that longer term profitability goal simply by easing off the gas in some of these areas that we’ve been investing in. We’ve got an infrastructure now that we’ve established in clinical that I do think gives us a base to build on some operating leverage opportunities in the same regard and in the R&D organization, I think we’ve established and built an engine, an infrastructure that we can and will leverage from an operating perspective going forward. So I think you’ll see us make progress along those lines as we move through 2023. And you heard Mitch reiterate our intention to be consistently profitable as we enter the first half of 2024. And that continues to be how we’re thinking about operating income and OpEx investment from here forward.
Travis Steed: Great, very helpful.
Mitch Hill: Sorry, Travis. Just comparing the Q3 figures, for example, for R&D and SG&A, so Q3 of 2022 and you compare back to Q3 of 2021, so we’ve had significant growth for the reasons that Drew explained, but we would expect as we move into the 2023 time frame that you’ll see much more moderate growth in the R&D line. The SG&A line I think would primarily be growing due to the S part of that as opposed to the G&A part of that. And we feel like we’re actually in a really terrific position to leverage and the benefits of these investments we’ve been making across all five growth drivers.
Travis Steed: Great. Thanks for that and congrats again on the quarter.
Mitch Hill: Thanks, Travis.
Operator: And our next question today comes from Cecilia Furlong with Morgan Stanley. Please go ahead.
Cecilia Furlong: All right, great. Good afternoon and thank you for taking the questions. I wanted to start with some of the new product launches, but if you could just talk about both for Protrieve and InThrill really where you are at this point from an account introduction standpoint. And if you could talk about entry 24/2 how that’s ramped from a account penetration? And then kind of tied in with that to any way you could frame or quantify just the sequential net headwinds from new product introductions into 2Q?
Drew Hykes: Sure. So I can get started on some of those. So for both Protrieve and InThrill, you heard us talk about now moving into full market release. So during Q3, we completed the limited market release with both of those platforms. And in that process we collected not only clinical and technical feedback from how the products were performing, but also some important commercial feedback as well. And all of that informed the decision in both cases to move into full market release with Protrieve and InThrill. And that’s the phase we’re in now here sitting in Q4. That means we’ve got the products broadly released. The entire field organization has access to those products, and we are in the process of bringing both of those platforms to the broader account base. Keep in mind that requires us to navigate through the VAC approval process and gain approval and get those products established in the hospital and purchased inventory on the shelf, initial servicing and training completed with the staff. So there’s some work obviously required here as we move through that FMR, and we’re still in the early phases with both Protrieve and InThrill of that FMR work. As a result, we would anticipate pretty modest revenue contributions at least in Q4 from those two products given the work we need to do that I describe in the early phase of the FMR. Looking out to 2023, I think we’ll anticipate obviously more meaningful revenue contribution from those two specifically. Entry 24, which is another product you mentioned on that, has been in full market release now for some time. You heard us talk about the initial revenue that we were generated by placing Entry 24 and BOLD back in Q2. And at this point, Entry 24 is being used north of 90% of our FlowTriever procedures here in the U.S. are using Entry 24. So it’s been broadly adopted at this point. Maybe just to touch on the last new product that you did mention, but just to touch on Arctics we are moving through the LMR. Still with that product we are getting good feedback like what we’re seeing, but we have more work to do to get through the remainder of that LMR and we’ll keep everyone posted as we finish up that LMR on Arctics. Anything you’d want to add? Welcome.
Bill Hoffman: Well, Cecilia, I think you also asked about the headwinds from Q2, and as Drew just mentioned, we had a really terrific acceptance as we launched the BOLD and the Entry 24 products in Q2. And those two products, obviously that was some revenue in Q2 that doesn’t appear in Q3, but we are pleased with the performance of the ClotTriever franchise in Q3 and the procedure growth and the other things that we’d normally be looking at to sort of make sure we have a healthy and growing business there.
Cecilia Furlong: Great. And if I could just follow up around your recent class of sales force hires. What you’re seeing from a productivity standpoint at this point and then recognizing it’s early in some of these product launches, but just your initial take on how you’re thinking about either single sales force going forward or thoughts around potentially a second force to really drive penetration of your full product portfolio?
Bill Hoffman: Sure. So from a productivity standpoint, the biggest dynamic was us bringing on board that mega class that you’ve heard us reference back one quarter ago now. That was the largest class that we had ever brought on. We did that intentionally looking ahead to the second half of the year when we knew we’d have these new product launches to focus on. But as a result of bringing on that big bolus of new sales professionals, obviously the productivity took a hit as a result any time you bring on a large class like that. We have been digesting that class over the last 90 days now. And we’re starting to see the productivity recover just what we would anticipate and what we’ve seen with every other class. So we like what we’re seeing so far. We did hire a much more modest class here exiting the quarter. So we’re continuing to kind of rest and digest and allow that mega class to ramp up their productivity curve while also focusing on some of the new product launches. We have decided for now to bring Protrieve and InThrill out in the bag of the existing sales organization. That was a decision that was informed by the information we collected during the LMR. We think given the overlap in the site of service and the overlap in the interventional call point as well that it makes good sense to start those two products in the large sales organization. We’ll keep a close eye on anything that would signal that we’re distracting from the VTE business, but right now we think it makes the most sense to put all that in the existing channel. If we do decide at any point that we’d be better served to have a separate sales organization, we believe given the characteristics of all of these new markets that we’ve targeted we would largely nonetheless be able to follow the same commercial system and the same commercial playbook that we’ve developed for VTE, even if we were going to stand up a separate organization. So we’ll continue to keep an eye on all of those considerations as we move through the initial FMR and get a better sense of how the products are performing in a broad release.
Cecilia Furlong: Great. Thank you for taking the questions.
Bill Hoffman: Thanks Cecilia.
Operator: And our next question today comes from Larry Biegelsen with Wells Fargo. Please go ahead.
Larry Biegelsen: Good afternoon. Thanks for taking the question. I just wanted to start with the applied Q4 guidance match. It’s about 18% year-over-year at the midpoint. It’s only up about 2% quarter-over-quarter. Last year you were up 14% quarter-over-quarter. How is there – was there something one time in Q3 or is it something you’re seeing in the environment that that makes you cautious and given that call it 18% at the midpoint. How should we think about that in the context of next year? And I had one follow up.
Bill Hoffman: Yes, Larry, thanks for the question. I mean I think as we were looking at Q4, obviously we’re pleased with the opportunities that you’ve heard us describe including the new products in the field, which are sort of getting out there into the hospital. We’re not necessarily seeing a lot of contribution from those products yet in Q4, but excited about the potential that they represent for 2023. We are still wrestling with some of the staffing shortages, which I think you’ve kind of heard about from everybody. And Q4 is sort of the challenging quarter sometimes is some of the holidays that go on during the quarter. So I think as we were thinking through the quarter and thinking about how we would likely finish the year, we just wanted to be very confident about that and make sure we did not get ahead of ourselves from a guidance point of view. We are very excited obviously as we’ve expressed about 2023 and we’re bullish about their prospects for the business next year.
Larry Biegelsen: That’s helpful. I wanted to ask on Protrieve, the feedback has been very good. Drew, where do you see this going in terms of percent of your DVT cases today? And do you see an opportunity for Protrieve outside with competitor devices and how much pull through do you think this could drive for your devices? In other words, people switching from competitor devices to Protrieve. Thank you.
Drew Hykes: Yes, sure. Thanks for that, Larry. So if we go back a year or even a year and a half for the early days of the development work with Protrieve, as we shared that product with some of our KOLs and gathered feedback on the pipeline, that one product Protrieve always stood out immediately with many of the docs as addressing a significant unmet need and being a very novel solution. And so we were encouraged by all that and I think everything we saw during the LMR has, I think, underscored the value that that product has and the potential to address a significant unmet need. We believe at a minimum Protrieve can be used in about 15% of our existing DVT procedures, and those are the more complex DVT cases where they’ve got not only involvement in the iliofemoral segment, but also up in the inferior vena cava and they’ve got a significant clot burden that they may be concerned about embolizing as they work to address the clot. That’s exactly what we saw play out in the LMR, and I think going forward, we’re encouraged that that’s what we’re going to see in broad commercial release as well. Certainly that utility is present not only in our own ClotTriever case, our own DVT cases, but we also believe Protrieve can provide value and clinical utility even in DVT interventions that are being done with competitive platforms. And I think it’s a way for us to add value in those procedures and obviously in the process have some real commercial advantages in that as well. So we’re encouraged by what we saw in the LMR, and I think as we move through the FMR, hopefully those same advantages will come through as well.
Larry Biegelsen: All right. Thanks so much, guys.
Bill Hoffman: Thanks, Larry.
Operator: And our next question today comes from Sean Lavin with BTIG. Please go ahead.
Marie Thibault: Looks like they have my predecessors still on, this is Marie Thibault from BTIG and thanks for taking the questions. I think some of you’d be surprised to know is asking questions. Congrats on the very nice quarter. Wanted to ask one here, my first question here on the procedure environment, you mentioned just in response to the prior question, so wrestling with some staffing shortages. I know in the prior quarter you talked about reduced interventional capacity. Would love to get an update on how things are going. It certainly didn’t seem to impact this quarter’s results.
Drew Hykes: Yes. So Marie, I think in general our sense is those staffing shortages are certainly still present in the vast majority of our counts and that’s true across the country. So they haven’t been magically addressed. We do believe and I think you’ve heard this from others as well, that they’ve stabilized. And I think in some cases or many cases, hospitals have become more adept at navigating their way around those staffing shortages. But they’re still present. We are able to execute through them. We’ve got a nice story, we’re able to tell around a modest footprint, positive economic value proposition, a single center intervention. So in a lot of ways, those staffing shortages we’re able to navigate our way through them. And I think that’s exactly what you saw us do in Q3, so they’re still out there, they’re stable and we’re finding a way to help patients despite some of those headwinds.
Marie Thibault: Okay. That’s good to hear. Maybe I’ll ask my second question a little away from results. In the conversations I have with investors, we still hear a lot of questions and competitive chatter. Wanted to hear from your – in your own words, I guess your thoughts on some of this competitive chatter, what you hear out in the marketplace, and what we should be taking away from all of that. Thank you.
Drew Hykes: Yes. So over the last 12 months, we have been asked pretty consistently about [indiscernible] and AngioVac and AlphaVac, ClotHunter, QuickClear, [indiscernible] and the list goes on and on. At the same time, over the last year, to be candid, I don’t think any of those platforms have had a meaningful impact in the market. And I think there’s a couple reasons for that. First reason is you’ve heard us share this in the past, this is harder than it looks. The idea of simply getting a quick 510(k) for a catheter platform and bring it to market and experiencing explosive growth or a big impact, I think it’s simply harder than it looks. And there is much more work to do from a development standpoint, certainly from a clinical standpoint to get some of these new platforms on label for PE. From a regulatory and commercial standpoint, all of it is harder than it looks. Secondly, I think being able to compete these new platforms based upon a widget alone, I think is also increasingly difficult. And I think it stands in contrast to how we have approached the market. Even if you look just over the last year at what we’ve been able to accomplish in that same timeframe, we’re at 275, north of 275 sales professionals closing in on 350 people in our field organization. If you include our sales leadership team, our national accounts team, our health economic and market access team, our Inari solutions group team, closing in on 350 people across that organization. Our VTE Excellence program built out now in a very comprehensive way, in a way that we think is going to be repeatable and scalable, and helping develop these VTE programs. An innovation engine with two dozen programs in development, new markets, new patient populations, fourth generation product now FlowTriever and ClotTriever, nine separate tools in the FlowTriever toolkit, five in the ClotTriever toolkit. I think all of that speaks to how comprehensively we are approaching this market, the kind of investments that we’ve been making consistently across those growth drivers. And I think it stands in contrast to some of these emerging competitors. Clinical is another area that I think we have approached and I think in a very differentiated kind of approach. Tom, do you want to talk about clinical and how…
Tom Tu: Yes, yes, I’d love to. Marie, just to add one more point to that as these markets grow and as our customers become more sophisticated, you see an ever increasing value placed on high quality data. And of course, we have very large – the largest ever prospective registries in FLASH and CLOUT. You see sophisticated statistical analysis comparing our results to former landmark studies like ATTRACT. There’s just no other competitor out there that’s leading the way in this both quantity as well as quality. Not to mention two simultaneously run RCTs and possibly more to come. So we’re really excited that not only are the devices working, the commercial engine is humming along, but clinical is also contributing just as much.
Marie Thibault: All right. Well understood. Thank you.
Bill Hoffman: Thanks, Marie.
Operator: And our next question today comes from Bill Plovanic with Canaccord Genuity. Please go ahead.
Bill Plovanic: Great. Thanks for taking my questions. I was wondering, just first a couple of things. One, with the guidance, and I know it’s already been asked, but I mean the guidance really doesn’t seem like it contemplates any benefit from the new products or the new reps really kind of ramping up. And I think other people have kind of asked around the fringes on this, but help us understand why they wouldn’t, because I mean a 3 million to 4 million sequential uptick is one of the slowest quarters you would have. And I’m just trying to understand kind of where this is coming from.
Drew Hykes: Yes. So Bill, I can get started on that and Mitch may want to jump in as well. From a new product standpoint and the contributions of Protrieve and InThrill, you heard me describe earlier, we do need to navigate our way through the back approval process for each of those to new products as we enter the initial phases of this full market release. So as a result, we would anticipate pretty modest revenue contributions here in Q4 from Protrieve and InThrill. On the rep productivity side, yes, those mega class reps are ramping through their productivity curve and hitting the sweet spot of their productivity. At the same time, as you heard Mitch describe as we’ve always said, when we put a number out there, we want to be highly confident in our ability to hit that commitment. We do have the staffing shortages that are still out there that you heard us talk about. We’ve got seasonality with the holidays here at the end of Q4. I think all of that is included in the guidance that you heard Mitch put out anything you’d add.
Mitch Hill: Okay.
Bill Plovanic: And then just I was wondering if you could give us some qualitative just on I think historically you’ve talked about accounts and a new count adds, kind of where are you in that transition of bringing on new accounts versus going in deeper and if you could quantify maybe the new account growth on a percentage basis year-over-year and then just lastly for me, as any commentary on ASP trends. Thanks.
Drew Hykes: Yes. So from an account standpoint, Bill, we’re closing in probably north of 1,500 accounts at this point, active accounts across the country. So we continue to add each and every quarter that new add rate is slowing, as you would anticipate. We’ve talked about someplace in the neighborhood of 2,000 target accounts. So we’re approaching the later innings of that account build out, which is exactly what you’d expect. As a result, the vast majority of our cases, and incremental case growth in the quarter is already coming from established accounts. In fact, in Q3, 98% of our cases came from existing accounts, from accounts where we had already established a presence in, and were driving deeper adoption particularly by leveraging our VTE Excellence program. So I think that will continue to be the stories we look ahead to 2023. Clearly penetration adoption will continue to drive the vast majority of our growth. And already candidly are doing so already. Relative to ASPs, the second part of your question stability across the Board, Q3 no big changes from that standpoint. We’re still able as contracts come up for renewal to take price or attempt to take price, and we succeed more often than we fail, we’re able to point to some of the new products that we have brought forward underneath that per procedure price model as rationale for those price uplifts or at least price stability if we’re not able to get the uplift. So no big changes there. And I think all that continues to reflect the strong underlying economic value proposition that that both products enjoy.
Bill Plovanic: Great. Thanks for taking my questions.
Bill Hoffman: Thanks, Bill.
Operator: Thank you. And our next question comes from Adam Maeder with Piper. Please go ahead.
Adam Maeder: Hi, good afternoon. Thank you for taking the questions and congrats on the progress. Maybe to start, wanted to ask about ClotTriever BOLD and see if there’s any update there. In terms of uptake, where do volume stand with that product? Our clinicians using BOLD, predominantly for chronic clot or you also seen a mix of chronic and acute clot use, and just how do we think about that application over time? And then I had a follow-up.
Drew Hykes: Yes. Thanks, Adam. So just to remind everybody on BOLD, so that is the same ClotTriever platform with one key improvement. And that is a stronger radial force on the leading edge of the coring element. We did that really to design it to do a better job on tenacious chronic clot. BOLD is in about 50% of our accounts at this point and we’re seeing it used kind of as a frontline a go-to product for all DVT interventions both acute and chronic. We’re clearly getting good feedback on how it performs in all of those settings. I think in many cases, it can result in fewer passes just because it’s doing a better job of removing the clot. So it’s being used as a work horse in what would be historically our core DVT products. At the same time, BOLD is also I think giving us access for the first time to that new chronic venous disease patient population, patients that have truly chronic clot that is months or even years old, and that BOLD is strong enough to try and address the underlying cause of their disease. BOLD in that sense is the first of what will be a toolbox that we will build out over time, a purpose built toolbox specifically for chronic venous disease. You heard us talk about some of the new tools that we’re going to add to that toolbox. We have a stent cleaner product that’s now branded as REVCORE, which will come out next year. We’ve got a second recanalization tool that will be added to that toolbox. All of those designs specifically for this chronic venous disease patient population, this massive group of patients with spectacular unmet needs where we believe, we can help make a difference by addressing the underlying cause of their disease. So we’re in the early stages of focusing on that patient population, but BOLD is front center today for that effort as well.
Adam Maeder: That’s really helpful, Drew. Thank you for that. And the follow-up, wanted to ask about DEFIANCE, your randomized control trial with ClotTriever versus anticoagulants. I think I heard that’s going to start enrolling in Q1. How quickly do you think that trial can enroll? Are you able to share any details at this point in time? And I think I heard you mention that you think ClotTriever could become standard of care, if successful. So maybe just flesh that out a little bit as well. Thanks again for taking the questions.
Tom Tu: Adam, this is Tom, I’ll tackle that question. So firstly DEFIANCE, which is an RCT in the DVT space is comparing ClotTriever to anticoagulation for treatment of Iliofemoral DVT. The design of DEFIANCE was based on our vast experience using the CLOUT 500 data, which you saw presented Monday morning. And I think really serves as the next phase of our understanding of interventional treatment for DVT to update on the rather long in the tooth now attract data. So we have some comparisons of CLOUT to attract, which offers very good commentary as to the progress we’ve made in our technology. But DEFIANCE is an RCT that as Drew stated previously may very well change the standard of care for this disease state. As far as the specifics, DVT trials historically do take a little bit of time to enroll the excitement level amongst our customers is high. And we are going to kick off Q1. Once we complete the site selection process, I think there’s going to be a lot more to say about this specific trial design as well as some of the outcomes.
Adam Maeder: Thank you.
Tom Tu: Thanks, Adam.
Operator: And our next question today comes from Richard Newitter with Truist Securities. Please go ahead.
Richard Newitter: Hi, thanks for taking the questions. Just a couple here. On the data that you had at advanced FLASH and the CLOUT registry, I’m just curious, the data sets there. What was the feedback and do you expect any material impact to the market adoption curve here from these or are you really kind of looking more for DEFIANCE and PEERLESS to set the tone for standard of care type potential?
Tom Tu: This is Tom here. I was in the room when the two CLOUT 500 data sets were presented. And I’ll tell you, there were two different reactions that I detected. The first was one of kind of nodding confirmation that, yes, of course, CLOUT is safe. ClotTriever is the best-in-class device for thrombus removal, not much of a surprise for many people in the room who’ve had ClotTriever experience. On the other hand, I would say, the overarching take home message from the audience was that the level of sophistication of this data, as well as the quantity of the patient studied and the abstract after abstract publication after publication podium presentation one after the other is something that is just unparallel compared to some of the more early entrance that our competitors had to offer at this late breaking clinical trial presentation. As far as commercial adoption is concerned, I think that really is dependent on our commercial team’s ability to communicate the value of this clinical data, certainly not all of our users have the opportunity to attend these meetings or even read the updates on online. And I think there’s always the boots on the ground hand-to-hand combat, but we’ve armed our commercial team with the best possible information with which they can use to influence their customers.
Richard Newitter: Great. And then just two quick ones additionally on, how should we think about new products impacting your gross margin, especially as with separate ASPs and moving through 2023. And then just on your rep hiring, it’s one of the more impressive and faster, bigger cadences of seeing of hiring reps so quickly. What’s your confidence in being able to bring everyone kind of up the productivity curve in a predictable fashion? We’ve seen territory splitting in the past, when it’s happened as aggressively come with some pain. So I just would love to hear how you guys are ensuring the onboarding goes smoothly, there’s no hiccups. Thanks a lot.
Drew Hykes: Sure, Richard. Thanks for those. So first on the margin on the new products, Protrieveis priced as a standalone skew at 4,000. InThrill also priced separately from FlowTriever and ClotTriever as a separate system based price also of 4,000. The margin profile of each of those is fairly similar in the same neighborhood as FlowTriever and ClotTriever. And I think, as Mitch talks about, mid to high-80s as a pretty good range for our gross margin, that includes the impact of those new products. In terms of the productivity and the new folks we brought on board. Yes, it’s been a very fast ramp. We’ve done that intentionally as part of our overall commercial system. Many of those ads and certainly all of the recent ones are in the nature of a territory split. And that positions then both the legacy rep and the new rep to look after smaller territories. And as a result, have bandwidth to do the kind of work we need to do for VTE excellence and driving adoption and penetration. So that’s been a key part of our overall commercial system. We’ve got a very deliberate compensation program that aligns the sales professional’s incentives towards territory splits, usually for a device company, a split’s good for the company and not so advantageous for the sales professional. We’ve been really deliberate about designing a compensation program that actually aligns the reps incentives and has them welcoming territory splits as a result. And that’s been a key part of why we’ve been able to add as quickly as we have up until now and we’ll continue to be a key part of our system going forward as well.
Richard Newitter: Thank you.
Drew Hykes: Yes. Thanks, Richard.
Operator: And our next question today comes from [indiscernible] with Jefferies. Please go ahead.
Unidentified Analyst: Good afternoon, and thanks for squeezing me in here. So my first question, just to follow-up on Arctics. You talked about having some more work to do being in the LMR. Can you just talk about or elaborate on what’s next? What work do you have to do that’s remaining and maybe the timing left before you can transition to FMR?
Drew Hykes: Sure, Michael. So Arctics, just to remind everybody that is a product design for peripheral arterial thrombosis, two part system today we’ve got a balloon guide sheath with a – that provides proximal flow arrest and prevents distal embolization. And then a second component of that system that’s a mechanical thrombectomy component as well. We’ve gotten good feedback on how that system has performed in the LMR. And we’re about where we thought would be at this point. Keep in mind that is a smaller market than some of these other new markets we’re getting into. And as a result, we knew that the LMR would likely take a little longer. We don’t have a specific timing or timeline associated with those LMRs. We’re really most focused on is gathering the clinical and technical and commercial information that we’re seeking in the LMR. So that will be what governs the timing from here. Certainly, it will likely last through the rest of this quarter and into next year before we’re in a position to decide whether or not that product and system is ready for prime time and for full market release. But so far so good, we like what we’re seeing and hearing from the docs, and we’ll keep executing on the LMR and keeping you appraised as we move forward.
Unidentified Analyst: Great. Thank you. And my follow-up is just on the VTE excellence program. You’ve talked about some hospital staffing shortages and impacting procedures, but you’re working around those. I was just curious, what type of impact does that have on progress you’re making in the VTE excellence program? Just with the thought that, once we do get to a point where hospital staffing does resolve and there are less capacity constraints. Do you expect to see an acceleration in progress and what your VTE excellence program is driving?
Drew Hykes: Yes. To do that work associated with VTE Excellence, to do the work to develop these programs and systematically identify, risk stratify and bring these patients forward to caregivers that really understand the disease. To do that kind of work, you need folks to have bandwidth at the hospital. And so certainly, for instance, during the pandemic, the height of the pandemic that was a challenge. If your hospital’s inundated with COVID patients, you understandably don’t have a lot of time or bandwidth to focus on program development for VTE. I think in some ways a similar theme has played out with some of these staffing shortages at the height of those challenges in some accounts, they simply didn’t have bandwidth and time to be able to focus on program development and do the kind of work and partnership with us to develop these programs. I think in both cases, both with COVID as well as with the staffing shortages, the environment is more conducive today. There is more bandwidth today, more receptivity for us to do that work and to partner with accounts in those ways. So I think certainly in Q3, we began to see a more conducive operating environment, and I think we’re seeing good traction and increasing impact from that VTE excellence effort and program.
Bill Hoffman: And Michael, if I can just add, if you think about the – I think Drew mentioned during his comments, we’re just getting started and you sometimes hear say that I think VTE excellence is an – is a great example of that. And we’re making great progress, getting good traction in many hospitals and some of the academic medical centers though to – no surprise to anybody. They’re looking for more data. And so as I think – as you think forward over the next year or two, three, and you see us completing the enrollment in our randomized clinical trials and reporting in those results. Ultimately, you can kind of see multiple ships kind of coming into harbor at the same time. And that’s something that I think will ultimately kind of cause a change, not only in standard of care, but hopefully a change in the interventional rates and the products that are being used in the marketplace. And so we’re really playing a long game here and we appreciate the support of all of our investors who have that kind of share that vision for where we want go with this business.
Unidentified Analyst: That’s helpful. Thank you.
Bill Hoffman: Thanks, Michael.
Operator: And our next question comes from Dev Weerasuriya with Berenberg Capital Markets. Please go ahead.
Dev Weerasuriya: Hey, good afternoon. Thanks for taking my question. I want to focus a little bit on the OUS expansion, any major improvements in reimbursement across any of the geographies. And just a little bit of color on the expansion of the commercial precedence across geographies that you currently are already in specifically Germany. We’d love to know kind of how the sales team is growing on that front. And lastly, just from OUS revenue standpoint, we’d love to know the cadence of growth quarter-over-quarter. I know, sequentially Drew, but has that growth rate been similar over the last quarters or would love to get a gauge of that? Thank you.
Drew Hykes: Sure. Thanks for those, Dev. So we saw record growth in Q3 across the OUS franchise. And that was driven primarily through our efforts in Europe. We do have that initial commercial footprint established. And I think on a go forward basis, more of the growth will come from productivity gains from that existing initial investment and infrastructure that we built, as opposed to probably adding as aggressively as we’ve added over the last year. So I think we will see us begin to grow into that investment. And I think additional ads going forward, we’ll be more governed by productivity gains and gated to growth. In terms of the reimbursement, no big changes in Q3, we’ve got the NUB in Germany, we’re still doing work to get reimbursement established broadly in France. We’re doing some work in the UK. So no big announcements or changes just continued execution and continued growth and candidly continued record revenue and case growth, albeit still at a scale as you heard us talk about that’s still not material to the broader overall commercial franchise.
Dev Weerasuriya: Great. Maybe if I could just follow-up and just compare the OUS expansion opportunity versus new products here. I guess, from a materiality standpoint for revenue, would you expect kind of Protrieve, Arctics, InThrill in combination to here in the U.S. be more material than OUS over the next year?
Drew Hykes: Do you want to take, Mitch?
Mitch Hill: I’ll try to get started on that one, Dev. So we’re – as you’ve heard us talk about the OUS revenue, we’ve said that it’s been – it was a record quarter. We’re really pleased with the growth of the business outside the U.S. Having said that, it’s not material from the point of view of breaking it out on our financial statements. I think we’d sort of be following a similar approach with the new products, again, very excited. The two new products that are in full market release and working to the hospital that processes. Those are going to begin to get some traction in Q4, but more significant progress in 2023. And as those become more significant contributors to the business, from a revenue point of view, then we’ll ultimately break those out in our financials. I think for the immediate term, we don’t expect that they’re going to sort of achieve that kind of magnitude relative to the revenue, which is being produced by the ClotTriever and by the FlowTriever franchises.
Dev Weerasuriya: Well, thank you very much.
Drew Hykes: Thanks, Dev.
Mitch Hill: Thank you, Dev.
Operator: Ladies and gentlemen, this concludes today’s question-and-answer session and today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines and have a wonderful evening.
Bill Hoffman: Thanks everybody.
Drew Hykes: Thank you.